Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to ION Geophysical’s First Quarter Earnings Call. During today’s presentation all parties will be in a listen-only mode. Following the presentation, the conference will be opened for questions. (Operator Instructions). This conference is being recorded, today, Thursday, May 1, 2014. And I would like to turn the conference over to Ms. Karen Abercrombie, Vice President, Corporate Communications. Please, go ahead ma’am.
Karen Abercrombie: Thank you, Katia (ph). Good morning, and welcome to ION Geophysical Corporation’s first quarter 2014 earnings conference call. We appreciate you joining us today. As indicated on slide 2, our hosts today are Brian Hanson, President and Chief Executive Officer, and Greg Heinlein, Senior Vice President, Chief Financial Officer. Before I turn the call over to them, I have a few items to cover. We’ll be using slides to accompany today’s call. They are accessible via links on the Investor Relations Page of our website, iongeo.com. There you’ll also find a replay of today’s call following the call. Further on slide 3, information reported on this call today speaks only as of today, Monday (ph), May 1, 2014, and, therefore, you’re advised that time-sensitive information may no longer be accurate at the time of any replay. Before we begin let me remind you that certain statements made during this call may constitute forward-looking statements, which are based on our current expectations and include known and unknown risks, uncertainties and other factors, many of which we are unable to predict or control that may cause our actual results or performance to differ materially from any future results or performance expressed or implied by those statements. These risks and uncertainties include the risk factors disclosed by ION from time-to-time in our filings with the SEC, including our Annual Report on Form 10-K and our Quarterly Report on Form 10-Q. Furthermore, as we start this call, please refer to the disclosure regarding forward-looking statements incorporated into our press release issued yesterday, and please note that the contents of our call this morning are covered by these statements. I’ll now turn the call over to Brian Hanson who will begin on slide 4.
Brian Hanson: Thanks, Karen, and good morning everyone. I’m pleased to report a respectable start to the year. Yesterday, with reported first quarter 2014 adjusted net income of $6.4 million or $0.04 per diluted share on revenues of $145 million up 12% from first quarter 2013. This increase in revenues is attributable in large part to a record first quarter in software segment revenues, the first time consolidation of OceanGeo, the results of which we include in our ocean bottom services segment and the signing of the single largest data processing contract in our history adding $15 million of revenue to the quarter. Greg will provide further details in a moment but we are very pleased to report our consolidated gross margins increased to 39% from 27% in the first quarter of 2013, and our operating margins increased to 14% up from 1% a year ago. One of our primary focuses this year is on cash generation. In the first quarter, we generated $38 million of free cash flow, more than double the amount we generated in the first quarter of 2013. We’re also pleased with the recent court development in our ongoing lawsuit with WesternGeco. You may have read in our 8-K filing last night, the court has issued an order reducing the total damages to $123.8 million, effectively acknowledging an error that was made in the initial calculation of supplemental damages. This order results in a partial reversal by $70 million of our prior reserves taken. We firmly believe this development contains our potential liability to a more reasonable amount and allows us to put this matter behind us for the time being as we await the next steps through the appeal process. As Greg will point out in covering our liquidity, the new final damages amount is well under our available cash balances of $197 million. From this development, we have also been assured that our bonding requirements will be adequately met with no cash collateral required. This is very good news for ION and all of our employees. Now, I’d like to share some of our first quarter operational highlights. After that Greg, will walk us through our financials in more detail and I’ll wrap up. I’ll start with our solutions segment which includes our GeoVentures business and our GXT data processing business. In the GeoVentures business, data library revenues were up 40% from first quarter of 2013 while new venture revenues were down 32%. As the first quarter of last year included revenues from a large proprietary 3D marine program offshore Morocco. We continue to pursue investments in our 2D BasinSPAN multi-client data library. During the first quarter, we were awarded permits to acquire 12,600 kilometers of seismic data offshore group, quite in the comps given, we underwent a multi-year process to secure the permits. PeruSPAN is the first regional deep focused integrated geological and geophysical interpretation of the area. We are designing the program in closed cooperation with PeruPetro to provide our oil and gas companies with a strategic view of the basin and enhanced reservoir characterization of this promising area. While this program is in the early stages, it’s another example of our ever expanding global footprint. And more important, it’s another example of a national oil company choosing to work with us to optimize our hydrocarbon assets. We recently completed the first phase of our West Australia SPAN program which consists of about 12,000 kilometers on Australia’s North West shelf. While there is a lot of interest among oil and gas companies in the area, the regional geology is complex and historically achieving a holistic understanding of the reason basin architecture has been challenging. We attribute our ability to plan and execute the program to our track record of successfully acquiring deep toe data in other parts of the world including offshore Brazil, West India and Florida and also to our proven ability to image complex geologies. We recently completed processing Phase 1, the data looks very good and what we’re seeing could potentially change the understanding of depositional systems, structural evolution and geological development of the under explored deeper potential in this highly productive region. We are currently planning Phase 2. As we mentioned on our fourth quarter call, we continue to see an expansion of our 2D multi-client customer base from our traditional customers, predominantly IOC and majors, to NOC in independence. The shift in focus among the larger oil companies to generating cash and shareholder return is opening up opportunities for the other players to expand their geographies. The good news for us is they’re finding value in our basin spend data allowing us to broaden our customer base. Another major milestone was our announcement in early April of a new 4,000 square kilometer 3D multi-client survey offshore Ireland, the first major survey of the significantly under-explored Deepwater Southern Porcupine Basin. Of note, this is the first survey to realize from our alliance with Polarcus, which we announced last year, the jointly developed and market multi-client regionally calibrated 3D surveys. By regionally calibrated, we mean that we are finding geologic insights green from our 2D BasinSPAN programs in the design of these 3D surveys. In the case of this porcupine survey, we are leveraging the geological monetary gain from our Northeast Atlantic SPAN 2D survey to deliver the high quality 3D data required by oil and gas companies to further develop the area. The acquisition is scheduled to commence in late June, and our plan is to deliver data in early 2015. In addition to our E&P focused activity based on our Artic leadership and expertise, our GeoVentures Group was engaged in the first quarter to acquire proprietary projects off the coast of Antarctica as part of the government research study. Our first quarter data processing revenues were up 38% over first quarter 2013, attributable in large part to the $15 million in revenues we recognized in the first quarter for work performed in 2013, while we awaited signatures on our customer contract. I’m pleased to report that the customer signed the contract in the first quarter, which is the largest data processing contract in our company’s history. Our software business had a nice quarter, generating record first quarter revenues, our result of strong ORCA and get our licensing. This record start to 2014 on the heels of the record fourth quarter finish is a solid improvement from the start of last year, when we saw declining software revenues primarily as a result of customer consolidations. Our first quarter system segment sales for $25 million down 22% from the first quarter of last year, primarily due to the absence of ocean bottom cable system sales in 2014. The revenue decline was partially offset by an increase in repair and replacement positioning equipment revenues largely a result of the new repair and replacement program we introduced late last year. As you know, we are focusing the majority of our system’s R&D on supporting OceanGeo and on introducing new ocean bottom acquisition technologies including our Calypso System. In the first quarter, we deployed and tested Calypso alongside our VSO System on OceanGeos survey offshore Trinidad for Petrotrin, and we’re pleased with Calypso’s geophysical performance and the data acquired using the system. Shifting to OceanGeo, I’m pleased to report the survey for Petrotrin is going quite well. Our OceanGeo and ION teams work hand in hand to get the survey up and running and they continue to work closely to ensure optimum performance and productivity. We expect to complete the Petrotrin survey in late May or early June and OceanGeo is working tirelessly to fill their pipeline and secure the next project award. We expect to be able to announce the next award in the very near future. With that, I’ll turn the call over to Greg.
Greg Heinlein: Thanks Brian, good morning everyone. I will present our financial results as adjusted to exclude the one-time gain for the partial litigation reserve reversal. However, we’re happy to address any questions you have regarding this in the Q&A session. Overall, our first quarter revenues were $145 million, up 12% year-over-year. Our solution segment revenues were up slightly at $89 million, software segment revenues were $10 million, up 15% in the first quarter 2013 and system segment revenues were $25 million down 22%. Also, starting in late January, we began consolidating the results of OceanGeo which contributed $21 million in revenues to our first quarter results. As Brian mentioned, consolidated gross margins increased to 39% compared to 27% in the first quarter of 2013, and operating margins were 14% compared to 1% in the first quarter of 2013. The increase in gross and operating margins was driven in part by the restructuring of our systems segment in 2013. The recognition of data processing revenues related to the signing of the significant customer contract, higher margins on the mix of new venture programs in our solutions segment and from the consolidation of OceanGeo during the first quarter of 2014. Our operating margins in the first quarter of both 2014 and 2013 were negatively impacted by approximately $3 million of bad debt expense associated with customer bankruptcies in each of those respective quarters. Overall, we reported an adjusted net income of $6.4 million or $0.04 per diluted share, compared to $1.5 million or $0.01 per diluted share during the first quarter of 2013. Turning to the next slide, our first quarter solution segment revenues were $89 million, up slightly from the first quarter of 2013. Our data processing revenues were $43 million, increased 38% over first quarter 2013. As Brian mentioned in the first quarter, we closed the single largest data processing contract in our history. Our data library revenues were $13 million, an increase of 40% over the first quarter of 2013. We are pleased with our first quarter data library sales especially considering our strong library sales in the fourth quarter of last year. Historically our first quarter library revenues are the lowest of any given year, as most E&P budgets are spent in the back half of the year. Our first quarter library sales were led by East Africa programs. Our new venture revenues were $33 million, a decrease of 32%. This year-over-year decline reflects a large Morocco proprietary program formed in the first and second quarters of last year. A majority of our first quarter 2014 new venture revenues was the result of the proprietary project off the coast of Antarctica, in from the acquisition of our highly underwritten 3D Land programs in North America. Our solutions operating profit increased to $19 million or 21% operating margin, up from $7 million or 8% operating margin in the first quarter of last year. This increase in operating profit and margins was driven by our large data processing revenues in the first quarter, and from higher margins on the mix of our new venture programs. Turning to slide 12, our software segment achieved its best first quarter sales as revenues increased 15% here in the first quarter of last year. This increase in revenues was led by increases in ORCA and Gator software and hardware sales particularly in the seabed seismic contract space. A software segment operating profit was $5 million or 51% operating margins for the first quarter. This operating profit was equal to that of the first quarter of last year. In the first quarter of last year, we began our increase in research and development expenditures, as we continue to develop new oil company software solutions such as Narwahl. Moving on to the next slide, system segment revenues were $25 million, a decline of 22%. This year-over-year decrease is primarily attributable to a lack of revenues from Ocean Bottom Cable Systems, partially offset by nearly $5 million increase in repair and replacement marine positioning the equipment revenues. Systems operating profit increased to $3 million or 14% operating margins, compared to $1 million or 3% operating margins first quarter of 2013. This increase in our systems operating margins is primarily due to cost reductions taken late in 2013, partially offset by approximately of $3 million of bad debt expense from customer bankruptcy in the first quarter. Turning to slide 14, in late January, we increased our ownership in OceanGeo from 30% to 70%. Our first quarter consolidated results include revenues in OceanGeo for February and March. During those two months, OceanGeo recognized nearly $21 million of revenues for the work performed and its five-month project in Trinidad. Prior to February, we reflected our share of OceanGeo results as equity earnings. Turning to the next slide, INOVA’s revenue in the fourth quarter was $40 million down 33% from the fourth quarter of 2013. This decline in revenues resulted in an over-reporting loss in the fourth quarter of approximately $5 million, of which our 49% share was approximately $2.4 million. This reduction in sales is attributable to lower vibrator sales compared to the same quarter of last year. For INOVA’s first quarter, we estimated revenues to be in the range of approximately $25 million to $27 million, which would be an approximately 18% increase from the first quarter of 2013. We expect INOVA to report a first quarter operating loss in the range of $3 million to $4 million. Turning to slide 16, as of March 31, our cash balance hit $197.3 million. During the first quarter, we generated $38 million of free cash flow due to the significant receivable collections from the quarter, resulting from our record fourth quarter of sales. We also drew an additional $15 million on our revolving line of credit for general and corporate purposes. Overall, we generated $34 million of cash flow excluding draws on our revolver. Turning to the next slide, at March 31, we had $125 million available under our $175 million credit facility, which were then combined with our cash on the end, broader available liquidity at March 31, $322.3 million. Our net debt decreased $28 million to $44 million during the quarter, down from $72 million at December 31. This decline in our net debt was due to significant collections during the quarter along with spending discipline on new venture programs that were not adequately funded by customers. Finally, the recent development regarding the litigation with WesternGeco is good news for our end. The $70 million partial reversal of our reserve allows us to contain the liability to a more reasonable number, keeping loss profits out of the supplemental damages calculation. We will finalize bonding requirements in the next couple of weeks, and our team continues to work towards having a new credit facility in place, yes, this year to replace our existing revolver set during March 2015. In the meantime, we continue to build cash liquidity by focusing on improving every aspect of our business. With that, I’ll turn it back to Brian.
Brian Hanson: Thanks Greg. From an operational standpoint, we are well positioned for the balance of the year and beyond. We continue to strengthen our global 2D data library with programs and global hotspots. We’re executing in the vast 3D multi-plant market with alliance with markets. And we are now actively participating in the fast growing Ocean Bottom Seismic market through our OceanGeo joint venture. And we look forward the announcing the next survey which we’ll move to once we complete contract negotiations. But there remain headwinds, major oil and gas companies, our traditional core customers remain cautious in their exploration spending as they focus on generating cash and returns to their shareholders. That coupled with increasing clinical uncertainty and energy strongholds makes it difficult to predict E&P spending. We believe E&P spend will continue to grow, but anticipate it would be concentrated more on the production side. As for exploration spending, it appears to have stabilized in the contractor community, which should support our multi-plan activities in the second half of the year. We’re seeing continued softness in data processing due to a shift of activity in the Gulf of Mexico, along with a shift in proprietary activity to inspect surveys. Despite our strong first quarter data processing revenues, which included the $15 million in revenues from 2013 work, all indications suggest that our data processing business will be relatively flat for the balance of the year adjusted down for the previously mentioned $15 million in the first quarter revenue. For all of these reasons, we remain cautious in our outlook for 2014 and are staying focused on managing our business with an added driving shareholder value and increased cash generation. With that, we’ll turn it back over to the operator for Q&A.
Operator: Thank you, sir. (Operator Instructions). Our first question comes from the line of Joe Maxa with Dougherty & Company. Please go ahead.
Joe Maxa: Thank you. Good morning.
Brian Hanson: Good morning, Joe.
Greg Heinlein: Good morning, Joe.
Joe Maxa: Question on the now venture program. Sounds like you are expecting some maybe I guess I won’t call it flatness, but stabilization in the second half of the year. When you look at 2Q, are you still seeing some strong activities in the North America land programs, and if the multi-client business is weak, do you have additional or are you going after more of the proprietary projects?
Brian Hanson: Yes, Joe, it’s not – we don’t do a lot of proprietary work. And so, when we do proprietary work, it’s because there is something that we have in our toolkit that’s unique and differentiated. So, really when you look at the proprietary stuff, we’d be really focused on our Artic technologies and that’s developed some unique opportunities for us over time, including the one that we just did in Antarctica in the first quarter. As far as, just generally the multi-client business, the land side of that business, we would expect that we continue to have good strong activity on land through the second quarter. I would think that that will probably soften up for the back half of the year. And then, we have a number of projects that although they’re more difficult to put together this year than they were prior year, we still have a number of meta-slated. We’d expect that would shift more to marine, marine 2D BasinSPAN projects and that one 3D one in the back half of the year.
Joe Maxa: I see. And I also wanted to ask a question recording the OceanGeo business. Sounds like you are close to signing the contract. Do you anticipate that being of similar size as the ones you are currently working on? And then what is the opportunity for signing additional contracts, and perhaps utilizing Calypso maybe later this year and next year?
Brian Hanson: Yes, that’s a very good question. The size of that contract is, I would say it’s comparable it’s very comparable to the Petrotrin survey. And we would expect that – we’ll complete that Petrotrin survey late May early June and then we’ll mobilize with this next survey. And that would probably carry us into probably into the fourth quarter. But the pipeline of activity is very robust in fact, it’s increased every quarter for the last four quarters, both the amount of underwater projects. And so, we see quite a pipeline of potential activity ahead of us. So, we’re pretty optimistic we’ll be building our backlog and hopefully building that backlog through the end of the year that will carry us into 2016.
Joe Maxa: Great. Thanks a lot.
Operator: (Operator Instructions). And our next question comes from the line of Phyllis Camara with Pax World Funds. Please go ahead.
Phyllis Camara: Hi. Thank you. Thanks for having the call. A quick question on the data processing. Was it $6 million or $13 million in revenues that were added for Q1, that were actually completed in the fourth quarter of last year?
Greg Heinlein: Hi Phyllis, this is Greg. It was $15 million of revenues recognized in our first quarter from past quarter.
Phyllis Camara: Okay. Okay. So if that was the case, then basically other data processing was down a little bit from the previous year?
Greg Heinlein: Yes, that’s generally correct.
Phyllis Camara: Okay. Okay. What is going on with the ocean bottom equipment, do you see any potential for sales coming up for the rest of the year for the equipment, or is that not going to happen this year?
Brian Hanson: Phyllis, this is Brian. Our model has changed in over the last half dozen years, we’ve been shifting from an arms dealer supplying contractors to a services provider for E&P clientele. And as part of that, we have deliberately pulled out of the ocean bottom equipment selling business. And we are exclusively putting our technology to work in our OceanGeo joint venture. So, we’ll be selling at anymore Calypso, we did test Calypso and we are – we’re going to be putting Calypso to work in a commercial fashion on the next survey with OceanGeo.
Phyllis Camara: Okay. Thank you. And then what type of customers do you have that seem to be going bankrupt, that you’ve got $3 million in bad debt in both quarters? I would assume these are not national oil companies or IOCs? Are they just smaller companies in general?
Brian Hanson: Yes, we’ve got actually quite a stellar track record when it comes to our bad debt exposure. We only had two real situations over the last few years. One was, the first quarter 2013 and it was just a small land based oil company in North America that that was playing the unconventional in Shale and they went bankrupt. And subsequent to that we actually on the heels of that structure to deal with the incoming party and so, that will all be – that will – we’ll be made home on all that.
Phyllis Camara: Okay.
Brian Hanson: This last one was the first quarter of this year that was global Geophysical who is a customer of ours and buys equipment of product from us. And they went bankrupt.
Phyllis Camara: Right, okay. Okay. Okay. Thank you so much.
Brian Hanson: You’re welcome.
Operator: Thank you. Our next question comes from the line of Act Varca with Investec. Please go ahead.
Act Varca: Hi, good morning. Would you elaborate on the litigation status? Is the case now closed, and could you give breakdown of how much you are paying, and whether that is the total reserve that you have taken?
Greg Heinlein: Yes, hi, this is Greg, hi good morning. Thanks for the question. I guess, probably for the benefit of all the callers, this would be well detailed as we plan doing in each of our quarterly filings and our 10-Qs has to be released later today. So I would encourage you to read that and then if you have further questions come back to me in essence from day one of the trial we provided, pretty good updates on the history how it all evolved and where we’re at today and certainly towards filing with an update of this recent order from the quarter.
Act Varca: Would you tell us whether the case is closed or not, yes or no?
Greg Heinlein: Yes, so the judge has issued this as an order, this recent development as an order but has not ruled on the final case within the Federal District Court, here in Houston. And one key issue is that final judgment then we will begin the appeal process up through pellet courts in Washington.
Act Varca: So you are going to appeal the case?
Greg Heinlein: Yes.
Act Varca: And how much is the total judgment so far?
Greg Heinlein: So, this recent order reduces it to $123.8 million.
Act Varca: $123.8 million, okay. Okay, thank you.
Operator: Thank you. (Operator Instructions). Our next question is a follow-up question from the line of Joe Maxa with Dougherty & Company. Please go ahead.
Joe Maxa: Yes, hi, I know the data library market is always tough to predict. Any sense on how this year may shape up?
Brian Hanson: Honestly Joe, I get asked that question probably every quarter and half for the last eight or nine years. And I’d be wrong if I told you what I thought. I’m wrong every time.
Joe Maxa: And how about on the software side, I mean, nice first quarter, I mean, is this, I mean, do you think this is a nice base level you can maintain going forward? And then just maybe expand a little bit on Narwahl, and when that may see some more meaningful revenue?
Brian Hanson: Yes, they’re – the software business is actually quite solid and we’re actually looking at a pipeline that’s – that we haven’t seen as robust a pipeline since probably 2012. So, we’re feeling pretty good about software business for this year. As far as Narwahl, there are two things that we’re working on, there is something called in Narwahl which is focused on activities and nice encumbered environments, there was also something called simultaneous operations which is similar but it’s trying to manage the complexities of a particular geography we have growing platforms and supply vessels and dirt seismic vessels etcetera. We would expect that of those toolkits, we’ll see more commercial activity as simultaneous operations in 2014 than we will out of Narwahl. The Artic activity has actually slowed down as the number of E&P operators have pulled out of the Artic and are revisiting their near-term plans there. So, I’d day Narwahl is probably going to be soft this year. But simultaneous operations part of it will be stronger than anticipated.
Joe Maxa: I see. Greg, a quick question on the effective tax rate, when you said you think it will normalize at 22% to 25%, were you talking on a quarterly basis or for the overall year?
Greg Heinlein: Probably as we get further to the year Joe, I mean, this quarter was unusually high for us due to some OceanGeo one-offs. And as the year progresses, I would expect it to elevate or migrate more towards that 22% to 25%.
Joe Maxa: Got it. Okay. Thank you.
Greg Heinlein: Thank you.
Operator: Thank you. And I’m showing no further questions in the queue at this time. Please, I would like to turn it over to management for closing remarks. Please go ahead.
Brian Hanson: All right. Well, thanks for taking the time to attend the conference call. And we look forward to talk to you during our second quarter call.
Operator: Thank you. Ladies and gentlemen, this does conclude our conference for today. If you would like to listen to a replay of today’s call, please dial 303-590-3030 or 1-800-406-7325, web access code 4678925. Thank you for your participation. You may now disconnect.